Operator: Good day, ladies and gentlemen, and welcome to the Grupo Aeroportuario del Sureste third quarter 2008 earnings conference call. My name is Marico, and I will be your operator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of the conference. I would now like to turn the presentation over to your host for today's conference, Mr. Adolfo Castro, Chief Financial Officer. Please proceed.
Adolfo Castro Rivas: Thank you, Marico. Good morning, everybody. Thank you for joining us today for the conference call covering our third quarter results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including risks that may be beyond our company's control. For an explanation of these risks, please refer to ASUR's filings with the Securities and Exchange Commission and the Mexican Stock Exchange. In light of the current challenging global environment, I would like to start today's conference call highlighting some key facts in terms of our balance sheet and the macroeconomic drivers that impact our industry and our operations. First, we have a very strong cash position. At the end of the quarter, we held 1776 million pesos in cash and short-term investments. The majority is in pesos, in Mexicans sovereign notes and corporate bonds issued by (inaudible). We have no derivative transactions, and as you all know, that means 100% debt free. In terms of the overall macroeconomic environment, there are two drivers that have a very important effect on our industry. The first is the oil price, which has impacted adverse during the first eight months of the year. The second driver is the dollar-peso exchange rate that affects purchasing power for foreign tourists coming to Mexico. Today, the oil price has declined significantly from what we saw earlier in the year, which alleviates the airlines. So, taking into consideration that most of our passengers travel for leisure, our destinations today have become more attractive than what they were in the past. By these, I do not intend to disregard the critical global environment -- economic environment, nor do I wish to overly positive for the future. I do believe, however, that 2009 will be a tough year for everybody and it's even more difficult to make any predictions at this juncture. As you have seen last week, we have purchased 130 hectares of land in Huatulco bay for a total of 286.3 million pesos. This land was purchased through a bidding process by FONATUR, the National Tourism Fund, which took place as part of the Federal Government's and FONATUR's interest, in accelerating the development of (inaudible). Now keep in mind that it does not mean that we are changing our businesses strategy. As we have said many times in the past, it is mostly the growth in the number of hotel rooms that drives passenger traffic in tourist destinations. And the fact is today, although we believe in the growth potential of Huatulco bay, this is not happening given the lack of available rooms. Now, we're all curious to act as a promoter of the area with the strategy of generating self-sufficient and profitable independent projects that can contribute to increased passenger traffic at Huatulco Airport. For these we will conduct the studies to determine how best to develop the land and facilitate the commercialization of these projects. We also intend to sign agreements with third parties such as tourism, real estate developers, and hotel operators to develop this property. We expect that the investments required for this project in 2009 will not be significant. We are also on track with the construction of the second runway at Cancun Airport, which we expect to open during the fourth quarter of 2009. As you know, this is the last year of our current master development plan and we are now in the process of negotiating our next master development plan for the next five years. Moving on to the financials, results for the quarter were quite good, considering the overall environment. We remain focused on maintaining our routes and we might have uncertain results in flight frequencies and involves a number of air traffic operations. But keep in mind that the (inaudible) factor has increased during the year, resulting in a net increase in passenger traffic. As expected, we have seen a slowdown in passenger traffic with growth of 6.9% this quarter, compared to the stronger numbers that we saw at the beginning of the year. Remember that total passenger growth in 2007 was more than 17%. I have said before, these in my opinion is not sustainable. I don't believe in double-digit passenger traffic growth in the medium to long-term. So, we believe we are returning to normal growth levels, particularly when factoring the current challenging global economic environment. Domestic passenger traffic rose 3.14% and international traffic was up by 10.58% this quarter. Total passenger traffic growth at Cancun and Cozumel airports was up by 10.34%, again reflecting Cancun's strength as a tourist destination. Total passenger traffic rose 4.8% in July, 12.9% in August, and 2.3% in September. The Cancun Airport is basically driving passenger traffic growth at ASUR, while traffic at Veracruz and Minatitlan is declining as a result of increasing in air fares for domestic market. We believe this trend will continue and it might have -- and it might also affect the Villahermosa Airport. International passenger traffic accounted for 51.6% of the total traffic of the quarter, up to 49.84% during the third quarter of 2007. Our domestic passenger traffic continued to face an impact of increased airline fares as a result of the higher fuel costs. As I had mentioned before, driven by increases in the oil price, some of the domestic carriers have reduced routes and frequencies in order to improve (inaudible) practice and increase the yield per flight. Passenger traffic between Mexico, Canada, and the United States represented 86.6% of total traffic, compared with the 87.2% in the same quarter of last year, reflecting the growth in traffic from Europe, driven by a strong euro against weak peso. Total revenues rose by 5.14% this quarter, mainly driven by a 7.05% increase in aeronautical revenues. Commercial revenue rose, however, it rose to a 1.05% year-on-year. Keep in mind that you are in the third quarter 2007, we reported one-time revenue of 18 million pesos from our food and beverage (inaudible). Including these, commercial growth would have been 10.7%. Operating costs and expenses rose 8.86% year-over-year mostly as a result of higher costs related to the operation of Terminal 3 in Cancun as well as increase in administrative expenses resulting from the corporate reorganization implemented earlier March. Professional fees grow as a result of services and studies received in connection with the negotiation of the master development plan for 2008-2023. Results were also impacted by the very strong increase in energy growth, due to the increasing oil prices. Despite the recent decline in oil prices, we do not a expect energy cost to decline as the Mexican Government believes energy costs have been subsidized until now. Operating profit for this quarter is around 0.16% to 288 million pesos. As a result of these EBITDA margin grow to 59.82% from 61.59% year-over-year. In terms of taxes this quarter we saw a decline in direct [ph] income taxes offset by an increase in the corporate tax and the income tax – originating [ph] the effective income tax rate continues above 28%, we expect the situation to continue to remaining -- of the year. In terms of CapEx, during this quarter we made a investments of 294.61 million pesos, mainly on the second runway of Cancun Airport. Now let me open the floor for questions. Please Marico, go ahead.
Operator: (Operator instructions). The first question comes from the line of Thomas Löffler from UBS. Please proceed.
Thomas Löffler - UBS: Yeah. Hi, good morning Adolfo, thank you for the call. One question related to the Huatulco investment. Why did ASUR buy the land instead of a developer buying the land directly from FONATUR? Were there no other bids in the bidding process or why do you believe that ASUR has to organize the land for this project?
Adolfo Castro Rivas: Hi good morning Thomas. In the case of this particular piece of land the bid was open and apparently, no one of the bidders complied with the requirements from FONATUR, and that's why ASUR's Board of Directors decided to go ahead with our proposal -- which we may -- down there [ph] on the 12th of September.
Thomas Löffler - UBS: So it's that they didn't meet the requirements or that they weren't bidding for the land? It's that they didn't meet the requirements, right?
Adolfo Castro Rivas: Yeah, the second one, yes.
Thomas Löffler - UBS: Okay. Thank you very much.
Operator: And our next question comes from the line of Nick Sebrell from Morgan Stanley. Please proceed.
Nick Sebrell – Morgan Stanley: Hi, Adolfo. Two questions first. Could you talk a little bit about CapEx outlook for next year -- what are the major projects aside from finishing the second runway? Second, if you could add a little bit of detail to the Huatulco outlook? In other words, this is the five year development plan, what's the potential size of the airport, what's the connectivity to the US and maybe -- like that stuff. And then just a data point, what's the European share of international traffic, now traffic coming from Europe?
Adolfo Castro Rivas: Okay, Nick good morning. Major projects -- I cannot say, what are we going to do next year, because currently we are in negotiations with the government. We have proposed -- we had presented our proposal on December 24th last year. And we don't know if they're going to consider our proposal or not. So for the moment I cannot tell you exactly what are we going to do next year. In the case of the Huatulco, Huatulco is a complete -- a full tourist destination that has 3,600 around 38,600 hotel rooms and for many years it has been packed because the government didn't open spaces for hotel rooms' construction. After many talks with the government and -- (inaudible) -- they finally designed to open these and we launched these particular destination and I have to say that my -- our opinion is that these particular city needs more hotel rooms capacity. They need to reactive their tourism destination and I do believe that the government and FONATUR are doing the correct -- or the right measures to achieve this. We know that we are loosing money in FONATUR, we are losing money not just on the financial point of view were also losing from the cash flow point of view. If we do not have market perhaps we will be losing forever. So that's why we believe we need to be part of this process, we need to be this effort, and we believe that we can add some value in this process. In the case of Europe, I don't have the exact figure in the top of my head; you can say (inaudible) -- I would say around 8% of our traffic comes of course from Europe.
Nick Sebrell – Morgan Stanley: Okay, and for Huatulco the long-term potential for that airport, I mean that something it’s in the million or something that’s close to a million or where do you sound line of the invest fund?
Adolfo Castro Rivas: If we can achieve, do not loose for any cash in the future that would be fantastic.
Nick Sebrell – Morgan Stanley: Okay. So, any plan comments for it with the breaking operation would be what your emission?
Adolfo Castro Rivas: Absolutely to gain this is an equity around 390,000 passengers, and from with these volume we can not these for give any in terms of cash - the globe so, again we do not have more of the rooms a we will not reach -- after even future.
Nick Sebrell – Morgan Stanley: Okay. Thank you.
Adolfo Castro Rivas: You are welcome.
Operator: And your next question comes from the line of Vanessa Quiroga from Credit Suisse. Please proceed.
Vanessa Quiroga - Credit Suisse: Thank you, good morning, Hi, Adolfo. And my question is (inaudible) can you conform that the investment on the construction of the rooms with confirm ASURs cash, and also I have right of little bit late to the coin a that could you repeat at the chose that you were talking about giving a – and on that constructions we have strengthen our (inaudible) quite well. Thanks.
Adolfo Castro Rivas: Okay. Hi, good morning, Vanessa. I think that -- the what we have starting to proceed is that we do not intend to been there a hotel operators or the hotels constructors or the hotel owners, we have canceled the lease agreement with third parties to develop the construction of these hotel rooms. And that what we’re going to try to do - you see – if you will read the press release as you’ll find that we have saying very clear about this should not represent any significant amount of CapEx for us in ES indicates of the investment what I was trying to tell the everybody (inaudible) we have cash we have invested this amount in June that’s was in most of the in the majority deal of the investment and also and we on that can deals in Mexican corporate firms, Mexican government firms and being bonus records of (inaudible) and dynamics.
Vanessa Quiroga - Credit Suisse: Okay. Thank you very much.
Operator: And in the next question comes from the line of Gonzalo Fernandez of Santander. Please proceed.
Gonzalo Fernandez – Santander: Hi, good morning Adolfo. Quick question have you noticed any slowdown for the current information from conformations are in this bold on therefore the high season of December January because currency position, and a I will know If you can I know that you cannot a talk a little bit domestic available in blend. Both issues for in expectations for lower traffic growth, and an increased a cost of (inaudible) cost of (inaudible) everywhere, and I understand that the terms of the concession including fly and some increasing price because, of these in order go to compensate for the (inaudible). I don’t know if (inaudible).
Adolfo Castro Rivas: Okay that settlement cancellations in Cancun group I don’t have contact with of the loose reservations and what I can take to you is that, as of today we have a very strong passenger traffic Cancun, and seems to where us respond may be remembered that the crises in the U.S is the problems the technical problems in the U.S I am coming from end of last year so, we see the numbers for the first nine months those have been very, very nice. We see September profit the numbers show a very I am say it weak 2.17% growth what the Cancun was the was very strong so, when you take (inaudible) in the case of matchless element plant it has clear that I will propose them present to them – December 24th (inaudible) it will them to see it (inaudible) all that you can see today. There is also mean that what we are seeing today he is not a should not being through this in calculations of our rates for the next five year. So, we are in continuous and (inaudible) tough we are becoming and those (inaudible) those factors should be included into the rates for the calculation of the rates for the next five years. We never that these local (inaudible) conclude the before he had depends.
Gonzalo Fernandez – Santander: Okay. Some questions a follow up on you have any (inaudible) investment and what will you call a smooth kind of past giving effect on we are using the touch rate according to a you will reject regulation right?
Adolfo Castro Rivas: You’re welcome.
Operator: And our next question come from the line of Steve Trent from Citi. Please proceed.
Stephen Trent - Citi Investment Research: Good morning Adolfo,
Adolfo Castro Rivas: Good morning Steve.
Stephen Trent - Citi Investment Research: I have told my questions have been answered already, I did want to ask about the second runway in Cancun, and know as you guys especially elected the new terminal Cancun in terms of new runway coming on, what sort of percentage that increase that we expect in terms of, an increase in potential aircraft equipments in Cancun Airport, and getting is not that double hotels you have already made the investment on the terminal side. And my second question looking outside of Huatulco I seems you recall, being some does, that close to Merida, or perhaps somewhere in close to the level of (inaudible), not far from your Merida airport in solutions that is an another plan to develop hotels and, I want to get do you have any color on that? Thank you.
Adolfo Castro Rivas: Okay, in the case of certain runway Steve, we should not -- we do not expect any increase in aircraft operations as a result of the second runway. (inaudible) the second runway, will be obstructing with the growth in the future so, and many say this in different words. But we try -- is to be as close as possible as the demand of capacity. So if you see the Cancun numbers to pay in terms of a 12-month period, they are very close to 30 million passengers. We need to believe that runway capacity is around 14 million passengers. So we are very close to the end of the capacity of the runway and when we are saying the end of the capacities without any obstructions, so without (inaudible) now you cannot land at this time of day or you cannot land at this time of the – so if we see the capacity – the new capacity is going to be around 28 to 30 million passengers. So it will allow us to reach that number in the future if the demand we invest, but what is clear is if we do not construct this we will not go beyond 14 million or the created capacity. In the case of construction, yes, it is true there is a huge project there in (inaudible) but given that this is close to Merida, there is an airport there that is (inaudible) airport and this is being managed by the government today. The (inaudible) airport, they are very, very, very small.
Stephen Trent - Citi Investment Research: Okay, great. And just one quick follow up – as a follow up to Gonzalo’s question. You mentioned on your total probably the CapEx outlay from (inaudible) will be fairly small, this sort of hotel, I guess so with respect you CapEx being tax deductible, any possibility we could see a little bit of break on tax rate?
Adolfo Castro Rivas: Well, because of – the affect will be reduced because you are investing in something and the formula for the case of the gross profit more or less minus investment. In the case of Huatulco, believe me, we do not have gross profit we had gross loss.
Stephen Trent - Citi Investment Research: Understood, very helpful. Thanks.
Operator: Our next question comes from the line of (inaudible). Please proceed.
Unidentified Analyst: Thank you, I have just one question. I wanted to know that can carry forth operation, and if so you're possibly separating or is it involving the operations are the airport?
Adolfo Castro Rivas: Okay, hi good morning Carlos. Yes, we have signed an agreement with (inaudible) in order to support them in order that they can operate it in a better way so what we are basically doing right, giving training and assistance. Again, we think that we think that we should try to promote development of the regions where we are working and this is one of the cases. You know that this case was awarded with (inaudible) the federal and local government are trying to push more people to go there and they had an airport tat was constructed in the year 2000. This airports has in their peak 36,000 passengers a year. So, they will be losing money and they were not in the right shape to receive price in that airport, so we are trying to help them in this process. Yes that’s true. But we are not upgrading the airport and we have not received any concessions and we are not investing any amount there.
Unidentified. Analyst: Okay. Thank you.
Operator: And our next question comes from the line of Pablo Abram [ph] from BBVA Bancomer. Please proceed.
Pablo Abram -- BBVA Bancomer: Good morning Adolfo. Just one brief question. Do know – knowledge what percentage of total trusts represented
Adolfo Castro Rivas: We have not received any concession and we are not investing any amount there.
Pablo Abram -- BBVA Bancomer: Okay, thank you.
Operator: And, our next question comes from the line of Pablo Abram from BBVA Bancomer. Please proceed.
Pablo Abram -- BBVA Bancomer: Good morning Adolfo, I have one brief question. Do you know – knowledge what percentage of total trust represented Alavia [ph] assuming their first nine or eight months of 2008?
Adolfo Castro Rivas: I don’t want to say nothing but close –
Adolfo Castro Rivas: Hello?
Pablo Abram -- BBVA Bancomer: Hello?
Adolfo Castro Rivas: Closed to CEO.
Pablo Abram -- BBVA Bancomer: Okay, thank you very much.
Adolfo Castro Rivas: You are welcome.
Operator: (Operator Instructions) We have a follow up question from the line of Vanessa Quiroga from Credit Suisse. Please proceed.
Vanessa Quiroga - Credit Suisse: Thank you, Adolfo just to clarify on the increase in cost especially in (inaudible) personnel and other administrative cost, so given that its related to the new macro development plan we should expect that to be maintained towards next year. Just confirm that. And also if you could clarify if the web tool cost investment in the land was already included in your CapEx plan for radar if you could give us the updated guidance for CapEx in 2008 including the (inaudible) thanks.
Adolfo Castro Rivas: Okay. Let me try to separate your first question. The company fees, what I have said in the press release is that one of the elements that originated on increasing cost was that we paid some studies that we are using to negotiate the macro development plan. Of course this is not something that we will see next year because next year we will not be negotiating the macro development plan but this doesn’t have to do with the president or the process that we made in the case of Huatulco as I have said to Thomas [ph] I cannot for the moment say what the CapEx number will be for the next year. Because currently we are in negotiation of that with the government and until we conclude that we cannot give any numbers. In terms of the strategic project of the land, because this is out of the macro development plan. What I’m saying is that the CapEx that we will go into this specific project we will not be significant.
Vanessa Quiroga - Credit Suisse: Okay, and for ’08 your CapEx, your expected CapEx number have you -- can you provide it?
Adolfo Castro Rivas: What CapEx
Vanessa Quiroga - Credit Suisse: For 2008, your CapEx?
Adolfo Castro Rivas: 2008 without this land should around 600 million.
Vanessa Quiroga - Credit Suisse: Okay, thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: (Operator instructions). We show no questions at this time, I will to turn the presentation over to Mr. Adolfo Castro for any closing remarks.
Adolfo Castro Rivas: Thank you Marico. Well, thank you for being here with us in this conference call and I hope that the situation for the fourth quarter gets better but the environment is really difficult to talk about what is going to be the future, so if you can keep in thoughts and the best for all of you, thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation, and you may now disconnect.